Serge Van Herck: Good morning, welcome to our half year results. It will be an interesting session for sure today. We have quite some things to talk about. But before we start, I'll ask Veerle to read the disclaimer that you're used to hear from Veerle De Wit.
Veerle De Wit: Yes. Good morning to all. As usual, this presentation contains some forward-looking statements, for instance, around macroeconomics, on business information or some surrounding financial conditions. As a management team, we assess all this information when we provide our forward-looking statements. Those forward-looking statements obviously include some risks and some uncertainties, risks and uncertainties, for instance, in relation to technology or market situation or any macroeconomic events. Such events could have an adverse effect towards our forward-looking statements, and EVS does not undertake any obligation to publicly release a revision of our forward-looking statements should such an event occur.
Serge Van Herck: Thank you, Veerle. So what will we be thinking about today? So we have a packed agenda today. Of course, a business update. We'll talk also about the acquisition that we have announced also yesterday evening. We have a market update, a financial update, of course, and outlook, conclusions, and then we'll take some time to answer your questions and answers. So let me start with that business update. Before I dive into the slides, there are 3 things I would like to make sure that you remember of the session of today. The first topic is -- or the first thing to remember is that title that we put forward here and that is a strong order intake and strategic wins confirm our full year guidance despite H1 revenue delays. So that's an important first topic, I want to make sure you remember today. Second point I want to make sure you take from the day is that on July 8, we achieved indeed that important milestone of EUR 100 million revenue that also brings us to a simulated EBIT of about EUR 21.8 million. So that's indeed another important topic that I want you to remember today. And last but not least, of course, the third point of today is about the acquisition of U.S.-based Telemetrics, which further complements our solution portfolio and which will give us access to a higher TAM. So those are the 3 important topics. And let me end with that last topic about Telemetrics that the numbers that they will produce in Q4 are not yet in our revenue and EBIT provisions for the rest of this year. So, what are we talking about here? Market and customers, we see indeed a new record of order book. So that definitely shows that our PLAYForward strategy is delivering those expected results. We are achieving EUR 175 million a new record for EVS. We see a strong H1 order intake. We see on the revenue side, indeed that we achieved EUR 100 million mark on July 8. But at the end of June, we were somewhere at EUR 91 million, but I'll let Veerle further comment on that, of course, in her detailed overview. We see that North America, Latin America region and the Live Audience Business market are driving our growth, both in the order intake and in revenue, and again, in line with our PLAYForward strategy. And we're also happy to see that our EVS technology will be at the core of the 2026 major sport events and especially also including VIA MAP in those summer events. When you talk about corporate topics, Well, it's clear that our focus on North America is paying off. We further strengthened the team, and we have opened a new center in Denver. We've been working hard to counter certain U.S. tariffs that have been implemented in the market a few months ago. So no surprise to that. But it did put some pressure on the way we were operating and the need for us to adapt, but Veerle will also give some more explanation about that later on. We're happy to say that we do another acquisition this time of Telemetrics, a U.S.-based company, and Benoît, who is present today will also give more explanation of why we do that, what is the rationale and the intent that we have by acquiring this U.S.-based company. And last but not least, on those corporate topics, we're happy to see that on the ESG dimension, we are further gaining speed and that this is also being confirmed by external evaluations that we get from companies like EcoVadis, which has reaffirmed the fact that we have a silver medal. When we look to our technologies, we're happy to continuously working on the new generative AI solutions that we integrate in our LiveCeption, but also in some other products. We have worked hard on MoveUP and MoveIO, which have been developed in Porto and which have been launched at NAB in Vegas earlier this year. And in a way we're also quite happy with is the announcement that we made with the University of Liege, where we are sponsoring a chair for AI and sports and that will definitely help us to further focus on the development of our AI capabilities in this case, in sport environments. And last topic here on this slide is about shareholders. So what is important to remember is indeed that we are confirming that full year guidance, both on the revenue and on EBIT, despite the economical uncertainties that we are facing and like many other companies at this moment in time. And last but not least, we will have soon IBC in Amsterdam in September where we will also organize a shareholder event, anyway you will be able to see our latest technologies that we launched on the market. Next slide, Veerle, that is one is for you.
Veerle De Wit: Yes. The financial highlights for the first semester of 2025. As Serge mentioned, it's marked by a very strong order intake and some strategic wins. If you look at our order book, first of all, we closed the half year with an order book of EUR 174.8 million, which is actually an increase of 23.4%. And this is a testimony of the strong order intake we had in the first half. Once normalized for Big Event rental, the growth is still a 14% and is definitely securing a longer-term growth for our company. On the other side, our revenue was disappointing. We had some temporary delays in revenue recognition linked to new business models that are being introduced, for instance, to cope with the tariffs in the U.S. Our revenue was at EUR 91.8 million, which is a decline year-over-year of 6.4% once normalized for Big Event rental, it is a decline of 1.9%, and we will definitely go further into details when we go into the financial update. That revenue delay also had its impact on the EBIT. We have an EBIT performance at EUR 14.8 million, which is a decline of 38.1%. Again, the impact of the revenue delay is important there. EBIT would have been at EUR 21.8 million if we would have normalized and reached EUR 100 million revenue mark that we envisioned. Our net profit is also impacted by this revenue delay and ends at EUR 13.3 million, which is a 39.2% decline year-over-year. From a team members perspective, we ended the first half with 728 FTEs, growing actually 86 FTE year-over-year, of which 48 FTEs are linked to Porto. The remainder of the FTEs are primarily in sales, presales and support resources to sustain our double down North America plan.
Serge Van Herck: Okay. Thank you, Veerle. That brings us to the next important topic of today. And one of those elements definitely that you have to take away from this presentation today, that's the M&A transaction, the acquisition of Telemetrics that we announced yesterday evening and which is clearly in line with the PLAYForward strategy that we've been implementing since a few years. And remember, we've done acquisitions in 2020 with Axon last year also with MOG Technologies in Portugal. We did also a capital increase of another Belgium company, and we took a minority interest in TinkerList, and now we are happy to announce a new transaction, a new acquisition in North America. And I'll leave the floor to Benoît to explain what we are doing here.
Benoît Quirynen: Thank you, Serge. Good morning or good afternoon. In fact, EVS invests in media production robotics. What is media production and robotics? As you can see on the left part of the slide, these are mechanical parts that are installed within studios, TV studios, most of the time. And these mechanical parts move automatically. The embed or they support a camera, in fact. So media production robotics does not include the market of camera, but only the mechanical parts that move the camera within the studio. All these systems are driven by some controllers. And in fact, the controllers can be hardware controllers, typically with 2 joysticks to control the positioning of the robots, in fact, and by software controllers. We have different kinds of robots. It can be just a pan-tilt to move the camera in a different direction while the camera is fixed, but it can be also put on rails as teleglide and the rails can be on the ground or on the roof. It can be moving in 2 dimensions on the ground as Omniglide or it can move up and down with Televator. And the telescope, it's a jib that can create some very nice movements typically for entertainment shocks. So this is what is media production robotics. So this is located more and more in the TV studios because it allows more creativity, and it also supports more automation and more consistency. So why does EVS invest in media production robotics? Because it's part of the live production ecosystem, in fact. So it's completely in line with what we want to do. We want to make the life of the production team easier. We want to integrate the different components of the overall studio and production environment so that it's easy to operate. It's easy to maintain. And globally, it can increase the quality of the production with an affordable cost. So it's part of the live production ecosystem. Second, we have developed at EVS, a real true AI expertise. And we see that more and more in this domain AI is playing a role to really assist the operators to create better live story telling. With robotics, it's all about return on emotion because you can capture shots that were previously out of reach. You can place cameras where a human cannot be located. So that means that we really will develop better images, which is completely in line with the concept of return on emotion that EVS is developing. And from a financial perspective, this market is evaluated to USD 125 million. So EVS will de facto increase its total addressable market of this amount. So that's why we invest in media production robotics. Now how do we do it? We do it thanks to the acquisition of Telemetrics. And we are very proud to welcome the team members of Telemetrics, a company based in U.S., a company created in 1973 with a very huge and significant technology background. They have very nice products that are adopted by premium customers, and they are focused on quality. They are focused on safety because you have all these robots that are moving and the robots are interacting on the same territory as humans. So we have to avoid collisions and so on. And they are really focused on that. So they have the same values as EVS. And in fact, today, the company is headed by Michael Cuomo, with the grandchild of the founder, who created the company in 1973. So today, they are a bit more than 30 employees working in Allendale, New Jersey. And the company is well known in the TV domain because they really revolutionized the television camera control and they innovated a lot in robotics to have the smoothest movement that you can imagine in robotics. It's not that easy to make that. If you just put simple wheels, you will have very stuttered movements. So it's important to have very smooth movements. And Telemetrics has developed all the mechanical expertise and products to bring this value to the market. So they serve clients as large network studios. But not only they also serve technology conglomerates and different markets as legislative, government, education. So, they have a good track record and proven track record for creating outstanding product and solution. And globally, they focus on reliability and safety, as I mentioned before. So they generated in 2024, an annual revenue of USD 12 million with a positive EBITDA around 11%. And we will close the transaction on 1st of October. And that means that Telemetrics will contribute to the EVS results for the fourth quarter of this year. To be mentioned that this additional revenue and EBIT is not embedded in the guidance. So the acquisition is done with an earn-out mechanic and that can go for the maximum amount of USD 13 million, so including the earn-out. Which kind of levers or strategic levers or strategic intent we want to activate. First, we consider that this marvelous technology is today not necessarily well spread in the world. So it's -- the majority of the sales is happening in U.S. And typically, we think that there is an opportunity to spread more of this technology and to deploy it more in Europe, in APAC. And the fact that EVS is a worldwide presence will help globally, this technology to be deployed in other parts of the world, first in terms of sales, and second, as well in terms of support because EVS is a wide support network. Second, strategic intent is the fact that we want to shift the value towards software. Thanks to the integration of EVS AI capabilities. Of course, the product is a mechanical product. It's a hardware. But more and more, the value will be in the way that this hardware is driven, and AI can really change the game here. Third, in fact, I started to speak about the live production ecosystem that we are developing. We think that when we combine this technology with other solutions that we have, LiveCeption,, MediaCeption, Media Infrastructure, Cerebrum, flexible control room that will be launched at IBC. We think that when we combine all of this, we can really improve the overall ecosystem, the overall experience for the operator and the easiness of producing media in general. Last but not least, as you have noticed, this company is based in U.S. And so that means that we could leverage the capacity of product assembly in U.S. for other products of the other solution, LiveCeption, MediaCeption, Media Infrastructure based on the evolutions of U.S. tariffs. So if we have a look at market. So as I mentioned, the market is evaluated to USD 125 million, and Telemetrics today represent 10% of market share of this media production robotics market. And this market is growing, in fact, and we plan to take more market share in the coming years. And you can see here some different kinds of customers that Telemetrics today has that goes from broadcasters, but also beyond broadcast with some brands or corporate, studios or education, government and so on. So now if we map it on the EVS strategy, where does Telemetrics add a contribution. In fact, we think that -- definitely, Telemetrics supports the live production ecosystem. I mentioned that several times, the word ecosystem. It's multi-tier as well because we have different level of robotics. We can equip small studios, but also premium studios. It certainly will help us to grow in broadcast center. It certainly will help us to grow in terms of software because of the AI and the controller of all of these mechanical parts. It will help us to be more relevant in entertainment, where robotics plays an important role and for sure, in news. That's where we think that Telemetrics as a media robotics production company can really help us to achieve our goal and to achieve our transformation.
Serge Van Herck: Thank you, Benoît, for that overview. So as you can see, we are quite happy with this acquisition. By the end of the year, we'll have about 100 colleagues in North America. So adding those 30 of the team of Telemetrics on top of the close to 70 that we have is further growing our presence in North America. And as you know, we put a lot of focus on North America as we believe this is an important revenue growth engine today, but also for the future. Talking about market update, let me dive into that market update. You know that we have an ambition to continuously grow over those next years with a target in 2030 to be the #1 solution provider in the live video industry, and this acquisition definitely helps us to go into that direction. Remember that this means that we want to have something like EUR 350 million by that moment in time. And we also know we'll have to do some more acquisitions to add to our growing revenues to be able to achieve that. But we feel that we are on the right track to get there. So when we look to our different products, our main product lines, our LiveCeption, MediaCeption, MediaInfra, what can we see at this moment in time when we look at LiveCeption, those live production replays and highlight solutions that elevate the fan experience some important elements to note. We have just released our zoom capability on LiveCeption and that has been used very recently also in some major U.S. basketball tournament, which we are very proud of. And we see more and more traction for the zoom capability in that North American market. That zoom capability allows operators to zoom in in a 4K image and have on the spot a very nice video that they can put on screen. We are only part of that large view that they have. So really a very useful tool that many customers are testing at this moment in time, and some of them already are on there with major sport events. We launched at NAB our XT venue, specifically for U.S. stadiums, and we've seen a good traction of that over those past months. We've definitely been able to increase revenues coming from that part of the market of the U.S. stadiums. So that shows that we made the right decision there to focus with specific solutions on that market. XtraMotion 3.0 was also launched and is getting a lot of traction. You remember the initial XtraMotion capability, which was about improving the slow motion effects of existing cameras. We've add to that new capabilities like cinematic and deburring effects, which are available on the spot to show with replays or with highlights. So a lot of customers are taking advantage of that new generative AI supported or enabled technology. And last but not least, for LiveCeption, we've been also further working to improve our VAR solution, Xeebra, with lighter and more portable versions for also coaching and medical staff. So we've been working hard to further strengthen our LiveCeption product family. On the MediaCeption section side, the solutions which are used for production, asset management and fast and easy content turnaround. Important to note is, of course, that we continuously work on VIA MAP to continuously implement it with new customers and further improve it. We're proud to say that it has also been selected for major summer events in 2026 which definitely shows that this technology is becoming a major technology in our markets. We further work on several multimillion modernization contracts with customers in the different regions, and we see that, indeed, we get more and more of such a big projects with customers, that is indeed further helping to grow our order intake, of course. And last but not least, for MediaCeption on the introduction of MoveUP and MoveIO components have helped to further increase the MediaCeption solution that we are providing to our customers. And that further allows us to extend the possible workflow towards post production and new media production of certain of our customers. Last but not least, Media Infrastructure, those routing and infrastructure solutions to control and process all media workflows. And we see more and more that NEURON is successful with the view capability in OBVans. And we take a nice example with a U.S.- based customer called GameCreek. This is an important customer of EVS and also extending the use of our Media Infrastructure solutions and their trucks. We see Cerebrum, our software solution for managing and controlling infrastructure of customers in their control rooms and their OBVans. We see Cerebrum to really further gain traction all around the world, and we see more and more deployments with customers in important premises. And last but not least, at IBC, we'll be launching our flexible control room, if you remember, in 2022, we announced a co- development program with RTBF in Belgium. So we are, as we speak, starting to roll out that with RTBF, and we will start a commercial rollout of that solution to other customers in September during IBC. Moving on, also proud to say that we have gained in H1 also some important projects. One of them we announced through a press release that was the fact that we secured a contract to support major international football tournaments in 2026, in North America. But I'm also happy to say here that we also get the contracts for major international winter sports event in Italy into the beginning of next year. So that shows that our big event rental business for 2026 is for sure going into the right direction and also shows, of course, that EVS keeps to be the top choice for such important sports and live events. Moving on, NAB show, which took place in April in Vegas. We are quite happy with the feedback we received from our customers there. While it was also just after the announcement of the implementation of tariffs. We had to respond to a lot of questions and adapt our workflows, but I'll let to talk Veerle about that. But I think customers overall in North America are happy with the way that we take care of this. We see definitely that North American customers further increase the trust they have in our technologies, and we've seen several new logos important logos join our EVS family in this H1 period. And last but not least, as you know, also channel partners is an important focus of our PLAYForward strategy. In light of that, we also did organize a very successful channel partner event in North America. And we definitely also see that indirect sales that we are realizing in North America is really growing strongly, and we're happy to see that, of course. So that brings me to some important contracts that we announced in H1. So we announced a Finepoint Broadcast important agreement that upgrades to our XT-VIA server generation, of course. We talked about it being GameCreek that also started to use our Neuron Media Infrastructure solutions in their OP events. We were happy to be selected in Belgium by the RBFA for our VAR solution. So we're happy to say that from now on in Belgium, all VAR that you will see with football or I should say, soccer is being delivered with EVS technology. And last but not least, the agreement that we signed with the University of Liege for AI in Sports, it was also for us an important milestone in this H1 2025. And that brings me to another important slide, and I'll ask Veerle to comment on this one.
Veerle De Wit: Yes. So you heard me in the beginning referring to some risks and uncertainties, and this slide captures actually in the geopolitical and economical risk we see when we actually pull up our forward-looking statements. Two of them have, we call out systematically. So the left one which refers to macroeconomic volatility, such as salary inflation or continued price increases of electronic components. It is there since quite a while, and we know how to adapt to it. We have a pricing strategy to ensure that we continue the profitability of our solutions, and it's not merely a new risk nor is the right one that is also a risk that is there since quite some time, which is linked to the inventory of electronic components to make sure that we continuously can deliver our products and solutions within our reliable delivery times. Those risks, we systematically managed since a couple of quarters and years in a row now, and we have a good control over them. There are 2 new risks rising this year. First one is, the second to left, which is related to import tariffs Obviously, import tariffs are reshaping the economical landscape and EVS definitely had to find a way and adapt its business model to ensure that there is minimal impact of these tariffs on our international trade and more importantly, our trade in the United States of America. In that respect, we did decide to become official importer of our appliances and goods in the U.S. which obviously changes our business model and which is also one of the reasons why we had some temporary delays in revenue in the first half. More on that to follow later. Next to the importers, we definitely see a weakening dollar, which is also a potential threat for EVS. We do model actually the impact of the dollar versus euro in future evolutions. We also hedge our dollar positions to make sure that the impact on our net profit is as minimal as possible. And for sure, for both the tariffs and the dollar impact, we see how we have to adapt pricings to limit actually any impact on our P&Ls. Again, more to follow on that later.
Serge Van Herck: Thank you, Veerle. That brings me to ESG to conclude this part of that -- this chapter. We're quite proud to see that the efforts that we put in ESG are also being recognized by external parties and that is being demonstrated by the silver medal that we received from ECOVadis and by an improved rating that we received from Sustainalytics, so that is definitely good to see that our efforts that we put across the board in the company are also being recognized by external companies like EcoVadis, and Sustainalytics. We still have important challenges in front of us and quite some important topic to focus on, but we feel that we are on the right path to effectively further improve our ESG approach throughout the company. That brings me to the financial update, the next important chapter in this presentation. And Veerle, I'll ask you to walk us through this financial update.
Veerle De Wit: Yes. So the first slide of the financial update is the top line performance. And so we start with the order intake. The order intake closed actually at EUR 104 million which is a 19.6% growth, which is a very important growth. It does include EUR 14.2 million of big event rental, excluding that big event rental, the growth is still of 13.4%. So definitely, our order intake has been performing very well in the first half and is definitely paving the way for our future as well. Next to order intake we have revenue, which was less positive in first half. We realized a revenue of EUR 91.8 million, which is a 6.4% decline compared to last year. If we exclude the big events rental, the decline is by 1.9%. This decline was definitely not what we looked at and what we targeted for. We actually targeted for EUR 100 million revenue impact or revenue achievement for first half. But unfortunately, that revenue result was impacted by some new business models, that temporarily delayed our revenue recognition. We talk about a temporary delay linked to 2 specific events. First, as I mentioned before, we changed actually our business model for the United States to cope with the tariffs which means that we delayed the moment that we take our revenue into account. Normally, we take our revenue into account when the goods leave our warehouse in Yes, but this new model implies that we take revenue only into account when the goods leave the New Jersey office. This is obviously delaying some of our revenue deliveries. So for instance, we need to make sure that the goods transit to the U.S. that they actually pass customs. And we also need to train our local team to actually have an efficient model in place to contact customers for picking up the goods now locally in the New Jersey office. So also customers had to adapt to this new process. And this new process, we implemented it in June, early June 2025. So it was a pretty new process for the end of quarter or end of first half results. As a consequence, we had some goods that were either in transit at customs or still waiting in our New Jersey office and be delivered to our end customer yet, out of 30th of June. As mentioned on the 8th of July, all the goods were actually received and shipped towards our customers, and we achieved the efficient EUR 100 million mark. We also note next to this change in business model for the tariffs, we also show a growing impact of managed projects. Serge referred to it earlier on in this presentation. For managed projects, we recognize our revenue according to milestones. And it's not because we delivered all the goods that necessarily we can recognize 100% of the revenue, it also depends if all the installations were done, if the training was done or if the final acceptance by the customer was done, and in some cases, this also delayed revenue from 30th of June to just early July. These are different business drivers that we need to take into account when we monitor our model our revenue progress in the remainder of the year. But as mentioned, we consider them temporary and we don't consider them systemic for our future performance. When we then go to the total order book, the story is, again, very positive. The total order book we succeeded or concluded a total order book of EUR 174.8 million, which is growing by 23.4%. It is very strong growth, and it is actually growing a lot, both for the current year as for the next year. The split is EUR 77.3 million for 2025 and the remainder EUR 97.5 million is for '26 and beyond. Our secured revenue for 2025 is sitting end of June at EUR 169.1 million, which is a solid base for the remainder of the year. If we look a little bit more in detail at the revenue performance, we do see some interesting proof points of our PLAYForward strategy. We continue to see an increase of our Live Audience Business. So you see first half results from 2022 till 2025. And you see the systemic increase at the left-hand side of the graph of the slide, of their Live Audience business growing from 42% in 2022 with a systemic growth now to 54% in 2025, definitely a proof point of our strategy. And also from a geographical point of view, you see that the NALA region is continuously growing despite economical uncertainties in that region. North America or Latin America now represent 40% of our overall revenue. And we definitely also from an order intake point of view, see that our doubling down in North America plant is getting its roots, and we see the success of this investment. If we go to the next slide, it is a snapshot of our profitability. First of all, we start with our gross margin. And also from a gross margin point of view, we can conclude that the journey is a very positive one. Again, you see the margin performance for first half from 2022 to 2025. And you see the steep increase. We actually realized a gross margin of 72.6% in first half '25, which is an increase of 0.7 points compared to prior year. You also have to notice that, that performance includes an impact of tariffs from second quarter that is worth EUR 0.6 million. So despite the tariff impact, we continue to see a strong performance in terms of gross margin. This resilience is mainly a consequence of our price increase strategy, but also from our continuous favorable mix that is increasing in terms of software and services. Next to gross margin. We have the EBIT performance or the -- operating expenses first, sorry. Operating expenses are at EUR 51.8 million. It's a growth of 11%. The growth is primarily driven by the additional resources that we onboarded of which 48 resources are coming from EVS Porto and the remainder, our investment in additional team members primarily linked to North America double down plan. Obviously, if we increase our team member base, we have a couple of associated costs that are increasing like subscriptions and like travel expenses. And next to that, we see some increased expenses linked to external services for compliance-related matters. For instance, for audit or for advice when it comes to taxation or to fiscal regulations and obviously also tariffs, which is a very complex matter. That operating expense is evolving by the way, in line with our expectations. So this is all according to our plan and our investments that we planned for 2025. If we look at the EBIT performance then, the EBIT performance, as mentioned earlier on, is struggling as a consequence of the temporary delay in revenue. So the EBIT performance ends at EUR 14.8 million, which is a 38% decline. And we have modeled actually the EBIT impact, would our revenue have been at envisaged EUR 100 million, which we've reached, by the way, on July 8. And that impact would have been quite important. We would have seen an EBIT performance at 21.8% margin or EUR 21.8 million in revenue, which is definitely in line with our expectations and in line with our full year guidance. The last slide is around our financial health and on our balance sheet, which definitely structurally remains very strong. We have some temporary impacts, again, following the delayed revenue. But all in all, the financial health remains very strong. EPS, earnings per share is obviously lower, given that revenue impact and obviously, also the higher operating expenses. And the lower financial result, given the impact of a weakening dollar and a one-off we had to take linked to the Big Tech 2022 contract. The earnings per share ends at EUR 0.94 per share, which is a decline of 39%, which is in line with our net profit performance. But we expect that to restore as soon as our revenue restores as well. Our net cash position is actually increasing slightly to EUR 52.8 million. It's a EUR 1.3 million increase. We see that the cash flow from operations from the past 12 months is partially offset by, first of all, the interim and the final dividend paid for 2024, it was EUR 1.1 per share, and the share buyback program that we did end of 2024 and that we concluded in the first quarter of 2025. And finally, from a trade receivable point of view, we reduced our trade receivables from EUR 74 million to EUR 71 million. It's a EUR 3.1 million gain. And our trade receivables remain very healthy. We have 71% of our receivables that are not yet due, and we only have 17% that are due by more than 90 days, and it's related to specific isolated cases that we follow up specifically with the customers in person. A final slide on our financial performance is linked to the intangible assets, where we do have some positive news. The project that we launched in 2022, the VIA MAP project that concluded its development phase in Q4 2023. And at which point in time, we also started depreciation. We definitely see a very strong traction over there. So we see first customers that had actually adopted VIA MAP over summer 2024. But as Serge also mentioned, we really now also see VIA MAP as an integral part of some very important wins. And amongst others, the major 2026 summer event workflows will be focusing also on VIA MAP. And for us, this is a clear proof point that, that intangible asset development has a long-term benefit and is definitely a cornerstone for future growth. We also still have a significant pipeline, and we -- with some strategic key wins opportunities that we want to follow up on. Earlier in 2024, we also launched a new development. That development is ongoing. So we spent a similar amount of intangible asset development in first half 2025, compared to first half or -- full year 2024. So it was EUR 1 million in full year 2024 and a EUR 0.9 million development in first half 2025. We foresee that the total spend is at EUR 6.3 million, and the launch date is targeted in 2027.
Serge Van Herck: Thank you, Veerle. That brings us to the next topic, which is the outlook, and I'll come back to you. I think it's important to say that our outlook is based on our business without Telemetrics and that we'll start integrating as from the 1st of October. Again, the floor is yours Veerle.
Veerle De Wit: Correct. So secured revenue at the 30th of June is at EUR 169.1 million. It's growing 7.2% once we neutralize it for big event rental. Thanks to that secured revenue, also the short-term pipeline that we still see that is expected to be delivered still in 2025. And based on our production capacity that we still have for the remainder of the year, we are happy to confirm that we can maintain our revenue guidance at EUR 195 million to EUR 210 million. And this despite actually some macroeconomical risks. So yes, true, we have a risk that is linked to U.S. dollar to euro conversion. That risk is assessed at EUR 2.3 million to EUR 3 million and we have a risk linked to project milestones, potentially shifting into 2026. But both risks are actually offset by a strong second half pipeline. And as mentioned, also a capacity to still convert that pipeline into order intake and into revenue within the year. Our long-term order book, which is also very positive, is growing to EUR 97.4 million, which is actually an increase of EUR 31.4 million. And also there, we see very strong foundations for 2026 and beyond. So also there, we are quite positive that we can maintain our long-term projections as well. With the reconfirmation of the revenue guideline, we also actually reconfirm our EBIT guideline. The EBIT guideline is -- remains at EUR 35 million to EUR 43 million. And it's a combination, obviously, of projection of our revenue as well as our cost base. Both these guidances are kept intentionally quite wide in terms of range. So the revenue range is worth EUR 15 million. The EBIT range is worth EUR 8 million. And obviously, because some of the uncertainty in the market still, we intentionally keep that range wide at this point in time with a goal to narrow it down as soon as we progress throughout the third quarter.
Serge Van Herck: Thank you, Veerle. That already brings us to the conclusion of today. So when we look to the key learnings of the past period, we see that they are consistent in fact with those last years, but that we even need a higher adaptability to indeed be able to face the situations that change around the world, of course. But when we look to the 6 main key learnings, we're continuously talking about the fact that the industry is keeping on consolidating, of course. And that you've seen today that we keep on also playing an important consolidated role with the acquisition of Telemetrics. We keep on seeing that there is more and more live content being produced and transmitted on different media and that the value is further increasing. When we see the sport rights that are being paid around the world, we see, especially in North America, but also in Asia that those rights continuously keep increasing. We see that infrastructure or Media Infrastructure continues to be a cornerstone of big changes, and we take benefit of that with our Media Infrastructure Solutions. Business models are still shifting. We see still an evolution from CapEx to OpEx, although it's slow, but we see definitely customers -- some customers are further increasing their interest of having OpEx business models. We continuously see that our market share in our different markets is increasing, and we are very happy with the progress, of course. And last but not least, we see that cloud is still an important topic of discussion, but it's just an enabler as many others are and we also feel that we are quite ready in approaching that topic. With all of that, as I said before, adaptability is becoming more and more critical to make sure that the things that happened in those worlds like tariffs in the U.S. that we can take care of them in a good way so that they don't impact too much our customers. Next focus that we have for H2 are the following topics, of course, it's continuously deliver those big modernization projects that we have won with different customers around the world. We continue to focus on the North and Latin America on new lab customers, so those Live Audience Business customers and channel partners. We're happy to see that both order intake and revenue is growing from that side. We continuously, as Veerle said, we continuously fine-tune our operating model to cope with those tariff changes in the U.S. We are, as we speak, of course, closing and starting the integration of Telemetrics Inc., which will -- of which the deal is indeed closed on October 1. We will continuously also leverage our new solutions to continue to further increase that order book, which is at record levels. And we will continue to expand our EVS solutions offering, both organically and through acquisitions and strategic partnerships. And last but not least, we'll also further focus on our cost control in this growth period that we are going through. So conclusions, remember the 3 things I said in the beginning, it's about a strong order intake and strategic wins, which confirm our full year guidance despite that H1 revenue delays. And again, I stress the fact that Telemetrics is not taken into account in those guidance numbers. Happy to say that on July 8, we achieved that EUR 100 million and that we indeed did that acquisition of Telemetrics that we announced yesterday, of course. So conclusion, as you can read here, we are quite happy to see that our EVS PLAYForward strategy has generated the expected long-term sustainable and profitable growth ambitions. That acquisition of Telemetrics is creating a new category of solutions, which further increases our total addressable market. Remember, the EUR 125 million we talked about, that Benoît was talking about in his presentation here. We are limiting further investments for growing cost structure in second half of 2025. And that definitely means that we are further focusing on our cost control. The revenue guidance is capped at EUR 195 million to EUR 210 million despite the economical uncertainties and the EBIT guidance, as Veerle said, has also kept at EUR 35 million to EUR 43 million. And last but not least, our targeted dividend is in line with our capital allocation framework and which should be EUR 1.2, depending on, of course, on the agreements that -- or approvals we'll get during our ordinary general meeting of early next year. So that is the end of the presentation. As you can see, we feel that we are progressing in the right way and that the strategy is delivering on our growth intentions. And that H1, unfortunately, it took us a few more days to achieve that EUR 100 million revenue objective. But despite that, we feel that the -- pointing in the right direction for supporting our future growth. And I think this brings us to the next topic of today, and that is answering your questions.
Operator: We have first question from David Vagman.
David Vagman: The first one on the secured sales 2025, to try to exclude the impact of the custom delay and also the Big Event wins. What has been really in your view, slowing down the sales traction for 2025? So, is this really just the phasing of this portfolio of projects? I understand it has really increased massively. Isn't it also that your salespeople have been focusing more on the bigger project on the bigger -- sorry, tender let's say, so are getting wins, but beyond 2025. So if you compare to your budget, basically, it seems your -- okay, you're not changing the guidance, but it is becoming a little bit more challenging, let's say. So what is missing, let's say, compared to your budget in terms of order wins, specifically for 2025? So are you missing out little bit on the shorter-term contracts, let's say. That's my first question. Second one on gross margin. Isn't it fair to say that the gross margin should be up in H2 versus H1? If I look at like your -- actually, your sales guidance, definitively H2 sales should be above the level of H1 and even above the level of H2 last year. And both times, you achieved 72.6% gross margin, I mean, both in H1 2025 and in H2 2024. So I'm thinking here, you've got quite some comfort and also you did price increase in the U.S. to offset the tariff impact, et cetera? And third question, on the OpEx side, I know there is some flexibility here, but there is only so much flexibility because you hired so many more staff. So you did already plus 10% OpEx growth in H1. What is your degree, let's say, flexibility for H2 OpEx growth, let's say? So I'm referring to the, I think, the EUR 52 million -- EUR 51.8 million of OpEx you achieved in H1. So what is a bit of a rough indication of the growth of OpEx for H2?
Serge Van Herck: David, thank you for those questions. So I'll take the first one and I suggest that Veerle take the second one and Benoît, the third one where I also will give some comments. But to start on the first one about revenue H1 and our focus of our sales team. We are particularly happy to see, of course, that the size of our project is increasing, both in size in amount size, but also in absolute number of those projects. And it's clear that the sales process is taking somewhat longer because those are more complex projects. So in that respect, we see an evolution. We don't feel it had a negative impact on H1 or just a limited one as we did achieve by 8th of July, that EUR 100 million mark. It's clear that we will continue further increasing that type of projects, and that is well reflected in the fact that our order intake for the longer term is also increasing. So we feel that it is absolutely the right thing to do. And then for H2, we don't feel that this should have a negative impact for H2. And that's why we are also confident that we should be able to achieve our revenue guidance that we announced before. And as you rightly pointed out, that would mean that we would end at a similar level of last year or slightly above, while we are in an uneven year. Because remember, last year was an even year where we had also big event rental revenues, which we don't have this year. So if you filter out that Big Event rental activity, we expect that we will demonstrate effectively growth for our business throughout the whole year 2025. And again, without taking into account the additional numbers that will come from Telemetrics. So I think -- I hope that answers the first question. Veerle, you take that second question?
Veerle De Wit: I would like to add still that secured sales, excluding Big Event, is increasing 7.2%. So we nearly offset the entire Big Event already. So I believe that secured sales end of first half 2024 was EUR 172 million. So it's EUR 2 million difference. And as mentioned, we also still see that we have production capacity for the fourth quarter. So yes, we're quite confident that this is achievable. So yes, sorry, I still wanted to add -- gross margin, yes, I think our current projections were a little bit prudent still in terms of impact on tariffs on the gross margin. So yes, we did implement price increases to offset the tariffs impact. We did a price increase, the first one in July, a second one in August. And so we're still prudent there as we need to see that we can offset indeed the tariffs impact immediately by that price increase or if there is some delay compared to the moment we did those price increases. So it's -- there's potentially some benefit there, but it's a prudent call at this point in time for gross margin. On the OpEx side, yes, we are also working on some cost actions. So we believe that, yes, the cost will grow in second half still because of there's the flow-through effect of resources that have been added in first half that will count in full in second half. But we did put a hold on additional resources at this point in time. It's just a temporary delay up till the end of the year. And we are also being vigilant about travel. It's not limited to only customer travel. We call it limited to business-critical travel. So everything that ensures continuity of the organization is important. So what is the lever we have, we can expect around EUR 2 million to EUR 5 million increase of our cost and a EUR 2 million increase is if we're fully efficient in executing all our spend guidelines and a EUR 5 million is actually if we do nothing. So it's anything between those 2 numbers.
David Vagman: And 2 very quick follow-up. On the -- your last comment there, the EUR 2 million to EUR 5 million. That's compared to H2 last year?
Veerle De Wit: H1.
David Vagman: To H1. Okay. And then on the gross margin comment, they use that Q1, you still had a guidance for the gross margin to slightly decrease year-on-year for 2025, you removed that wording, it's gone. So we're a bit in the dark. So you say you're prudent, but we don't know compared to what -- so what do you mean exactly when you say you're prudent because of the tariff impact and the timing, I understand of your price increase versus the tariff impact, et cetera. So what does it practically mean for...
Veerle De Wit: Yes, we're targeting a similar profit margin as 2024 overall.
Operator: We'll give the floor to Guy Sips.
Guy Sips: I have 3 questions. First is on the acquisition of Telemetrics. You indicated you created a new category of solutions and in all of your solutions, you want to be the #1. So what is your aim in this segment is that to grow faster than the market by using the EVS brands? Is it a buy-and-build strategy? Or yes, because -- and how do you see this market evolving because you are -- on the slide, you were indicating a CAGR of 4.5%, which is not really at the same pace of all your other segments. So how do you see that evolving? And on the client base, are there important clients missing that you could add through the EVS brand? That's the first question. Second question is a follow-up on the David's one, so you indicated price increases. Can you give us an indication what price increases you did in the other regions? And what was the markup for the U.S. on top of the traditional price increases to counter the tariffs? And then a little bit -- and I'm not hoping I'm not spoiling the IBC premier that you will give on the RTBF flexible control room. But can you give some indication of the rollout potential for this product?
Serge Van Herck: Okay. , thank you for those questions. I suggest to take that first question, Veerle, you will take the second one, and I will let Benoit go for the third one with FCR. So Telemetrics, new category, what is our strategy there? So it's definitely, as we did with other acquisitions, grow market share compared to competitors. We've seen that we've been able to do that with our other acquisitions as well. Our reputation, our brand recognition helps us indeed to increase market share on a worldwide basis. We have, as you know, more than 20 offices around the world and a local presence for many customers that will definitely help us to also put those products in front of customers in other regions of the world than the U.S. with a local presence. And I think that was one of the weak points of Telemetrics is very U.S.-centric, of course, with no support elsewhere in the world. So it will definitely help to have support on a worldwide perimeter thanks to EVS. So next to that growing market share. You asked us or you were referring to a buy and build. That might be a possibility. When we look to acquisitions, we look to acquiring a new talent, like we do here. But also sometimes, we look to acquire some companies that further strengthen us in a certain business category or the product category. So buy and build remains absolutely also a possibility. When you look at the client base, what is interesting to see is that we also have some corporate customers, if I may say so in North America, I take a nice example is the United Nations in that list, those are customers where typically for the moment, we are not in yet. So we see definitely on that side in North America potential for the future also to have better inroads to those type of customers than what we had before. So that is an opportunity that we see definitely. And then, Veerle, I'll let you talk about price increases and delta for U.S.
Veerle De Wit: Yes. So I think we did a general price increase across the world in May of this year. It's difficult to put a percentage to it because it was really targeted by product. But I think overall, it must have been around 2% to 3%, not that big, but it's really targeted by product. So, it's not a general one. With regards to tariffs, we specifically only increased the price in United States. So it's a country add-on as we would say it, for that specific region. So it's not generic on the U.S. dollar price for us, but it's really specific to United States. And it's a 4% increase that we did in July and a 2% increase that we did in August. Again, it depends product by product, depending on the hardware software split of the products. So becoming official importer, what does it allow us to do? It allows us to really split both from an operational point of view, but also from an administrative point of view, the intercompany flows for hardware and software, which then assures a tariff basis that is much lower than the average sales price, which embedded actually software by default into the products. So this is how we cope with this tariff impact. And this is why the price increase compared to the tariff impact is only marginal. We can note that also in July, the 4% that we did implement in July also includes some dollar protection that we did.
Serge Van Herck: Okay. Thank you, Veerle. And then talking about FCR. Benoît, I'll ask you to do an introduction so that everybody understands what we're talking about and what are the main advantages of the solution for customers so that you can also answer the potential of that market.
Benoît Quirynen: So in fact, FCR is flexible control room. And in fact, it's very complementary to the Cerebrum control system. So the Cerebrum Control System is about control and orchestration. And here, we add automation and operation today. So the intention and -- is to become, if I make a comparison, the ERP of production. And I think that, that speaks to you about what we want to achieve here with this FCR. And since, we will be the ERP of the production. It will solidify the position of all our product portfolio but also it will enable us to win a large modernization, transformation projects and help our customers to transform the way they operate. All our customers, they have to produce more with less. And because of an ERP, they can really monitor the resources when I mean the resources, it's really the systems that they are using. They can better share and reuse the systems between multiple productions, they can also have less expert operators and make use of more let's say, operators that can do more -- take more roles within the production so that can optimize the OpEx. And so that means that we will help our customers to achieve these goals of producing more with less.
Serge Van Herck: And indeed, we will show that at IBC, so we'll be happy to show that at IBC to all of you here around the table, if indeed, you can make it for Amsterdam and the event, which is on Friday morning.
Benoît Quirynen: And we get already some traction before IBC for this concept, customers are interested. It fulfills the need that is in the market for sure.
Veerle De Wit: But I think at the same time, this would be a good moment. So that event is still open for registration. So if you're happy to join the IBC on Friday morning in Amsterdam, please register. Registrations are still open, I think, for a couple of days, but then we will need to close them down. So if you want to see it in action, please do register for that event.
Serge Van Herck: So Friday, September 12, in Amsterdam. Looking forward to see all of you.
Veerle De Wit: Yes, correct.
Serge Van Herck: So, Guy, I hope that answers your question.
Operator: So we have a few questions in the chat. First one is from [indiscernible]. Is there an explanation why the weak total report is mainly explained by the weak performance in Europe and Middle East, while America and Asia is growing?
Veerle De Wit: Yes. I think definitely, what we see is that America is growing strong. So despite what we could expect implementing tariffs and uncertainty about the dollar. We definitely see that America continues to be a growth engine for us. We see it in revenue. We see it in order intake first half. And this is also the reason we really believe in the opportunity in U.S. and this is also the reason why we did our double down North America plan. But it's definitely not slowing down in the U.S. Asia Pacific, our order intake was a little bit lower in first half because of economic prices actually. So the euro was pretty strong and we sell in euro in Asia Pacific. So order intake was a little bit lower. True in revenue, they were still strong. So it's always a little bit a catch-up effect. I think in EMEA, order intake in first half was then a little bit lower. But obviously, also in EMEA, we see good traction as well, also with potentially some bigger projects, again, in the Middle East, et cetera. So yes, we definitely see -- it's perhaps first half was not their best half, but we're definitely not concerned about the longer-term. I'm not sure, Serge, if you want to say anything.
Serge Van Herck: Yes. No. I think that's indeed also in line with overall economical situation in the world. And we always see that the U.S. is faster and investing more and that Europe rapidly slows down when there is some more uncertainty. And so I think this is -- but as you say, we are not really concerning, we see for the rest of the year and the pipeline opportunities that the weakness, especially in EMEA should be compensated.
Operator: We have a few questions from Alexander Craeymeersch, who had to leave the call, I suggest you read the questions first before answering them.
Veerle De Wit: So I think regarding the delays of first half, they were not necessarily linked to one specific contract. Basically, we had a total of 4 deliveries that were either in transit, either at customs, either not picked up from our New Jersey office. So it's not specifically linked to a specific segment, and it's not linked to one large contract. It's just a more generic. The second question is on Telemetrics acquisition. I'm not sure Benoît, if you want to take that one?
Benoît Quirynen: Yes, I think that we already partially answered that. So we want to sell more. In fact, for sure. And in terms of the EBIT margin, we want to increase the EBIT margin. First, because we want to sell more. Second, we think that we can optimize the gross margin along the way by putting more value into software, especially thanks to AI. And if we go into this new kinds of solutions because we plan to change the game in fact and to also play the ecosystem gameplay, which will help us to penetrate better in this market.
Veerle De Wit: The third question, I'm not sure I immediately get that one, is North America, a margin-accretive region?
Serge Van Herck: Well, I will reply my interpretation of the question. While business is growing, we also see strong contribution. So margins are high. It's not that we are growing by lowering prices in the U.S., that's absolutely not the case. I would even say on the contrary, the customers are willing to pay even higher prices for quality reliability that we offer in North America. So don't assume that the growth means lower margin. So in our case, we would say it's even the contrary. North America is a strong market where customers absolutely appreciate the quality, reliability of our technology and of the service that we also provide next to that.
Veerle De Wit: And an example, for instance, is the deal that we announced in fourth quarter, the large U.S. bank in Media Infrastructure. It's considerably contributes in -- towards the margin improvement that we see in Media Infrastructure. So yes, this is a proof point that we don't really see margin pressure from our U.S.-based customers, even on the contrary. And I think there's a question about the new business model being applied in the U.S. So I presume that this question is related to the fact of importing officially in the U.S. So yes, obviously, that is purely as a reaction to the U.S. tariffs. And it is only applied in the U.S. and for the U.S. as well. So for instance, Latin America, they still continue in direct shipment from EVS headquarters. But for all U.S.-based customers, yes, there is a stopover in New Jersey, and it is limited to that team or to that customer base, I would say. Does the model introduce additional risks? So yes, obviously, you've seen the result from first half, it changes a little bit responsibilities of teams. So all of a sudden, the U.S. operations team became responsible as well to receive shipments and to arrange shipments to customers. And we've seen that, that team was under-staffed and potentially was not ready for such a change in business model. But those are things that we have already taken into account. So we have decided to strengthen that team locally as to make sure that in the future, we don't have these revenue delays for sure. But it does change a little bit the way we work and it does make sure that responsibilities are more spread throughout the organization, but it's just a question of internal adaptation and then we move forward. So yes, I don't -- it's not subject to any other geographies.
Operator: I will now give the floor to Michael Roeg.
Michael Roeg: Well, indeed, I also posted my questions on the chat. So the first one is about the acquisition. Can you share your ambitions in terms of sales and operating margins for Telemetrics in about 5 years from now? And then I know that there is an earn-out and January earn- outs are quite good because it lowers a bit of the risk. But the earn-out period is very short, only 2025 results. Why is it so short? And then when is the intended payment of the earn-out? So that's the first set of questions.
Serge Van Herck: Okay. Let's -- I'll start with why is the earn-out period so short. That is because you don't see how long we've been talking with them. So this is an agreement that -- and negotiations that we started quite some time ago. And in fact, it's -- you see it as being short, but we've been talking with them for a few years in the meantime. And our agreement is now coming to a conclusion. And the results, the earn-out is in that respect [indiscernible] in line with what we've been seeing over those last year and with some objectives that we gave them. And that is why you feel it's so short. But in our perspective, in our relationship we have with them, this dates from much longer. So that's, I think, answering why it's so short. Another advantage of having a short it that, indeed, we'll be fully owner of the company and that we want to make sure that we can take the right decisions that will help us grow the company on a very short term and because sometimes earn-outs are not helping to do the full integration on the short-term. So I think that's definitely where we see also the advantage of having a shorter earn-out period in this case. What are the ambitions? Well, our ambition is to further grow throughout the coming years. And I think our ambitions are in line with Telemetrics as well. Typically, we set -- when you look back to our track record and our ambitions that meant more or less an average growth year-over-year of 12%. So we see if you take the 12% over those next year, you'll see where we -- where our ambitions, our lending also for Telemetrics. So that is giving an indication about where we want to be in a few years' time. When is the intended payment, and I'll refer to Veerle.
Veerle De Wit: Yes, it will be first quarter 2026. So as soon as we close the year and we validate the results, payout will happen.
Michael Roeg: Okay. So the first payment in Q4 and then the earn-out Q1. And on the operating margin, it is below the EVS operating margin. Is that something that you can only improve based on sales growth? Or do you also see opportunities to optimize the cost without even sales having to kick in?
Benoît Quirynen: We expect to increase the value impact. By shifting the value to software, we think that we can increase the gross margin, yes. And by selling more, we could combine, let's say, the gross margin increase and the increased sales to increase the EBIT margin.
Veerle De Wit: Yes. And there's no immediate operational cost efficiency that we planned for if it would not be in the favor of EVS. So Telemetrics has a very nice production site, very well-skilled production team. So should we -- now that the tariff situation has stabilized should we anyhow want to produce now in the U.S., which is still something that we're investigating. We didn't want to implement this as long as the tariff discussion was very unstable and uncertain. But now that it is stable, we are reanalyzing potential production in U.S. And if so, we would definitely see if we can be efficient by combining EVS production with Telemetric production facilities and staff just because they are used to it and they have very well suitable facilities as well and teams as well.
Michael Roeg: So it already bring sort of a cost synergy from the start, if necessary, good.
Veerle De Wit: Exactly.
Michael Roeg: That's very helpful. Then my second set of questions is about milestones, especially because in the guidance, you flagged some uncertainty about milestones. So then I start wondering, what is the risk that you see? Is that, for instance, that a milestone is only reached in the first week of January instead of the end of December? Or are there other things in play? And then more generally, how many milestones does a project typically have?
Veerle De Wit: Yes. So I think managed projects are split in total in around 8 milestones, I think. So some are even at signature of contract. There's a first invoice and a first payment. And we are very much in control up to the milestone of delivery and shipment of our goods, which is -- relates to about 60% of our revenue. So that is something that we purely have under our control. The final 40% often depends on installation, often depends on training and final acceptance where we are a little bit more subject to customer planning as well. And so often, it's linked to the availability of a new facility being there. So it's a new office or a new truck or anything like that or the personnel of our customers being available for training and things like that. So there's a little bit more of uncertainty, we would say in these final steps of revenue recognition. And given the growth in our managed projects, so this was not something that we were modeling in a very huge detail in our secured sales process. We are obviously changing this. So we're now modeling this very specifically, and we are very much proactively now looking where we have potential risks or potential opportunities as well and what we can do to manage those risks and opportunities. Yes, so that is the situation.
Benoît Quirynen: Some of these projects are also integration projects by system integrators. So it does -- before you have the final acceptance, you need not only the EVS part to be delivered, but all the different parts of the solution to be delivered and to be glued together and working. And so sometimes the delay of one partner in the ecosystem that is not depending on us, and it is depending on the system integrator, the relationship between the customer and the other vendor can shift a project for 3 months.
Michael Roeg: Okay. That's very clear. Based on today's presentation and some of the presentations of the past. I have a couple of these very large projects on my radar scope, including the U.S. Bank. You have the studio in Belgium. You have the large broadcaster in the Middle East. So based on sort of the road map for each project, there is something that may or may not slip into next -- early next year, I assume. That is sort of the risk that you flagged?
Veerle De Wit: Exactly. Exactly.
Michael Roeg: Okay. When I combine these large projects for which I don't know the exact sales scope, is that a difficult base of comparison for next year? Because maybe next year, you have only 2 of these large projects or 1 instead of 3?
Benoît Quirynen: The number of projects like that is only increasing.
Veerle De Wit: Yes, exactly.
Serge Van Herck: Yes. And I would say that by doing that, the risk is also being a better distributor. We're not talking about 5, but we're talking about more than 10.
Veerle De Wit: Yes. Yes, absolutely.
Benoît Quirynen: And the ones that you refer on [indiscernible] in the scope. So that means that ...
Michael Roeg: Yes. Okay. So 10 projects, 8 milestones per project, 80 milestones ...
Veerle De Wit: No. It's a lot more than 10, it's a lot more than 10.
Michael Roeg: But so you have a huge amount of milestones that can swing before or after the quarter. And is there something then really planned for year-end that can really make the difference if it moves to January?
Veerle De Wit: No. It's just an internal follow-up, so we realized that those projects, we need internal synchronization between sales, project management, finance, et cetera, et cetera. to make sure that, first, we grasp potential risks, and we take mitigation -- mitigating actions upfront whenever we see a potential risk. So it's just more internal adaptation to the way we forecast rather than anything else.
Operator: I will now give the floor to David Vagman, who has another question.
David Vagman: Yes. I have one additional follow-up on Telemetrics acquisition. So it's very useful to know that you've been discussing with them for a few years. Two quick follow-up on that. So should we understand that on the -- typically on the note, normally, you have quite some, let's say, uncertainty on whether the company will achieve or not its target here because you've been following them now for a few years. Should we understand that there was actually a very high degree of certainty that you will need to pay the USD 13 million -- let's say, the USD 12 million more on the earn-out side, like as certain payment, so to speak, or a high level is certain? And should we understand that basically what you kind of negotiated or agreed is a level of profitability, which is very close to what you've been disclosing so i.e., the 11% EBITDA margin.
Serge Van Herck: Okay. So thank you for the question, David. So those next month will be critical, of course, to see where we will land. We have no certainty, but we hope will get to the maximum of that amount because if it is, that means that they're doing very well that they've done a good mix of revenue and profitability. So, we hope that it will be the maximum. It's absolutely not a guarantee. We can't say today if it will be 50% or 70% or 100% of that earn-out. We just hope that indeed things turn out for the best and that they realize their maximum earn-out because everybody would be happy by seeing that.
Veerle De Wit: And it's not USD 13 million earn-out. So it's USD 6.5 million upfront and then a similar amount in earn-out...
David Vagman: But I mean the total -- I'm trying actually to understand in term of -- sorry, it's housekeeping for the model. But basically, whether we need to plug in, let's say, the USD 12 million on an 11% EBITDA margin or actually, if they -- let's say, in the best scenario, which Serge is reflecting upon saying, okay, we will all be very satisfied if we need to pay them the USD 12 million then does it imply a 11% EBITDA margin? Or yes, that's basically where I'm trying to get at.
Serge Van Herck: Well, it's a mix of achieving a good profitability and revenue levels. So at the end, they might have a bit less revenue with a good profitability margin, the earn-out will be lower. And the maximum amount, we hope they will do it, but we don't -- for the moment, we would not expect that will be achieved. But I hope we have a pleasant surprise.
Benoît Quirynen: And we will [indiscernible] achieve it actually in Q4.
Serge Van Herck: There was a question from [indiscernible] as well?
Veerle De Wit: Yes. So mentioning 40% of your revenue made in NALA, what part of your EBIT is made in this region? We don't necessarily calculate an EBIT performance per region. But as we mentioned before, we don't necessarily have a higher price pressure in North America or than the rest of the world. So, there is no reason why they would have a negative impact on the overall EBIT, not at all. And even as we mentioned, on the contrary. So yes, I hope that answered the question.
Serge Van Herck: Sure. I think it's important to look at our business model. Most of our costs at EVS are remuneration costs. And most of those remuneration costs are in Western Europe because of course, Belgium is a very big hub, but we have also development hubs in the Netherlands, in the U.K., France and Portugal, of course. So as an international worldwide company, most of our R&D costs are in Western Europe and nowhere else, well, with Telemetrics that will change a bit. But when you look to our business model, most of the remuneration costs with engineering, with the other supporting activities are indeed in Western Europe. And if you look to the U.S., the only activities we have in the U.S. is sales and customer service. And okay, and some other smaller activities. But that's why we cannot really compare EBIT of a region with EBIT of another region. We can compare gross -- I'm sorry, contribution to EBIT. And then you have to look then to the revenue. And so we could say that 40% of revenue represents 40% of our profitability -- our contribution. More or less, it will vary a little bit, but we think that North America is definitely generating a good profitability.
Operator: Yes, we have a remark from Michael Roeg.
Veerle De Wit: I think that's a joke to end the conference call.
Operator: All right? No further questions, then I suggest that we close the call here. Thank you for attending. Thank you for all those interesting questions. I hope we've been able indeed to pass on that key message out today. And I will just say again on those 3 things that I would like to make sure you take from today is that, we see a strong order intake and strategic wins that confirm our full year guidance despite that H1 revenue delay. And again, in that guidance, we did not include the numbers of Telemetrics. Second topic was on July 8, we achieved that EUR 100 million revenue bar with EUR 21.8 million EBIT, which shows that we're close to 22% EBIT over revenue. And last but not least, indeed, the acquisition of Telemetrics which will help us in the future of further achieving or coming closer to our goal to be the #1 Live Solution Provider in the industry, that helps us here also to increase our total addressable market. So all in all, we are happy with the progress we're making, and we see that the indicators, the long-term indicators absolutely point in the right direction. And we'll make sure that the H2 is living up to expectations, of course. So thank you for joining today, and look forward to see you in Amsterdam on September 12. Okay. Thank you so much, and I hope to see you soon indeed. Have a nice day.